Operator: Good day, ladies and gentlemen, and welcome to the Martin Midstream Partners LP Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to your host for today, Mr. Bob Bondurant, Chief Financial Officer. Sir, you may begin.
Robert D. Bondurant: Thank you, Ben. And to let everyone know who's on the call today, we have Ruben Martin, President and Chief Executive Officer; Joe McCreery, Vice President of Finance and Head of our Investor Relations; and Wes Martin, VP of Business Development. Before we get started with the financial and operational results of the fourth quarter, I need to make this disclaimer. Certain statements made during this conference call may be forward-looking statements relating to financial forecast, future performance and our ability to make distributions to unitholders. We report our financial results in accordance with Generally Accepted Accounting Principles and use certain non-GAAP financial measures within the meanings of the SEC Regulation G, such as distributable cash flow, or DCF, earnings before interest, tax, depreciation and amortization, or EBITDA. We use these measures because we believe it provides users of our financial information with meaningful comparisons between current results and prior reported results, and it can be a meaningful measure of the partnership's ability to pay distributions. Distributable cash flow should not be considered an alternative to cash flow from operating activities. Furthermore, DCF is not a measure of financial performance or liquidity under GAAP and should not be considered in isolation as an indicator of our performance. We also included in our press release issued yesterday a reconciliation of DCF to the most comparable GAAP financial measure. Our earnings press release is available at our website, www.martinmidstream.com. We also issued a press release this morning that furnishes all fourth quarter business segment information for 2012. Now before I begin my discussion on our fourth quarter performance, I want to point out the financial statement reporting impact of our acquisition of the Cross Oil lubricant packaging business and the remainder of the Class A interest in Redbird Gas Storage from our general partner. On October 2, 2012, the partnership effectively redeployed cash generated from the sale of our discontinued operations by acquiring the Cross lubricant packaging business for $122.7 million and the remaining Class A interest in Redbird Gas Storage for $150 million. The partnership accounting for these transactions as a transfer of net assets between entities under common control pursuant to FASB accounting rules. These net assets were recorded at the amounts reflected in our general partner's historical consolidated financial statements. These same FASB rules also require that all historical quarterly and year-end income statements be revised to include the results of the acquired assets as the date of common control. Accordingly, the partnership's historical financial statements have been recast back to 2007. On a segment basis, the recast effect of the lubricant packaging acquisition shows up in our Terminalling segment, and the recast effect of the acquisition to Class A interest in Redbird Gas Storage shows up in the equity and earnings of unconsolidated entities line of the income state. The financial impact of recasting the lubricant packaging acquisition for the first 3 quarters was to increase EBITDA of the Terminalling segment by $8.5 million. The financial impact of the acquisition of the Class A interest in Redbird for the first 3 quarters was to increase equity and earnings of unconsolidated entities by $0.8 million. With that background behind our numbers, we had fourth quarter 2012 net income from continuing operations of $9.2 million compared to a recast $8.7 million for the third quarter. And for the year of 2012, we had net income from continuing operations of $37.1 million, compared to a recast $13.4 million for the prior year. Now as with other MLPs, we believe the most important measure of performance is distributable cash flow. Our total distributable cash flow from continuing operations, or DCF, for the fourth quarter was $20.1 million, a distribution coverage of 1.1x. This coverage calculation is based on our actual distribution paid in the fourth quarter and does not include the impact of the 3.5 million shares we issued in late November 2012. It also does not include any IDR payments to the general partner as we have suspended IDR payments until a cumulative suspension of $18 million is met. At December 31, 2012, our cumulative suspension amount was $1.6 million. And as of today, is $3.4 million. For the year, our actual DCF was $83.8 million, a distribution coverage of 1.1x based on the actual cash distributions paid in 2012. Now I'd like to discuss our fourth quarter cash flow from continuing operations, compared to the third quarter. In the Terminalling segment, our fourth quarter cash flow, which is defined as operating income plus depreciation and amortization, but excluding any gain or loss on sale of assets, was $12.9 million in the fourth quarter, compared to a recast $13.3 million in the third quarter. Our specialty terminals, which now includes our newly acquired lubricant packaging business, had cash flow of $9.2 million in the fourth quarter compared to a recast $9.7 million in the third quarter. The lubricant packaging business had cash flow of $2.2 million in the fourth quarter, compared to the inclusion of a recast $1.7 million in the third quarter. Also, our Corpus Christi crude terminal had cash flow of $3.3 million in the fourth quarter, compared to $2.2 million in the third quarter. The crude volumes at our Corpus crude terminal have constantly increased over time, and we're currently consistently receiving over 100,000 barrels a day into our 600,000 barrel capacity terminal. Offsetting these fourth quarter increases in specialty terminal cash flows was a decrease in cash flow from our Arkansas lubricant refinery. Cash flow from this operation was $2.6 million in the fourth quarter, compared to $3.8 million in the third quarter. We experienced unexpected downtime at the refinery due to a boiler outage. This issue reduced our daily throughput revenue and also increased our operating expenses for boiler repairs. We do anticipate the performance of the refinery to be more normal in the first quarter of 2013, when compared to the reduced performance in the fourth quarter of 2012. The other portion of our Terminalling segment, Marine shore bases had cash flow of $3.7 million in both quarters. We continue to remain long-term bullish on the shore base business as we believe there will be a continual increase in the Gulf of Mexico rig count year-over-year. As a result, our diesel throughput volume should increase driving an improvement in operating cash flow. To further show our commitment to the shore base terminal business, we closed the Talen's acquisition on December 31, 2012. We purchased Talen's for $103.4 million. We immediately sold the working capital to our general partner for $56 million, leaving a net investment in Talen's of $47.4 million, subject to certain working capital adjustments to be determined. We entered into a fee-based diesel throughput agreement with our general partner. And as a result, we believe this business will add incremental cash flow of $6 million to $7 million to us in 2013. For the year, using a recast 2012 segment income statement, our overall terminal cash flow was $51.1 million compared to $41.9 million in 2011. Using 2012 as a baseline for 2013, we believe we should have increased cash flow above that baseline from the Talen's acquisition of $6 million to $7 million. Also with expected increase business at our Corpus Christi crude terminal and our lubricant packaging business, we should realize an additional $10 million to $13 million of cash flow growth in 2013. Now in our Sulfur Services segment, our cash flow was $8.6 million in the fourth quarter, compared to $7.9 million in the third quarter. For the year, our Sulfur Services segment had cash flow of $44.9 million in 2012, compared to $34.4 million in '11. Our cash flow in the fertilizer side of the Sulfur Services business was $5.1 million in the fourth quarter, compared to $4 million in the third. The third quarter's traditionally our weakest quarter in the fertilizer business, though this increase in cash flow was expected. Also we performed a turnaround on our sulfuric acid plant in our Plainview, Texas facility in the third quarter, so we did not experience that downtime and associated cost in the fourth quarter. For the year, our fertilizer business had cash flow of $28.7 million, compared to $18.7 million in '11. This increase was primarily driven by both volume and margin growth. Looking towards 2013, we are forecasting a slight decrease in fertilizer cash flow as we believe there may be some margin compression this year. On the pure sulfur side of the business, our cash flow was $3.5 million in the fourth quarter, compared to $3.9 million in the third quarter. This decrease was primarily volume driven as our sulfur sales volume fell 10% in the fourth quarter. This was driven by decreased exports sales at our Beaumont and Stockton prilling facilities as there was reduced sulfur supply production running through these 2 prilling operations. For the year on the pure sulfur side of the business, our cash flow was $16.2 million, compared to $15.7 million in '11. Looking toward '13, we see a slight decrease in the pure sulfur business cash flow as we feel there may be pure logistical opportunities realized in 2013, compared to 2012. Moving to our Natural Gas Services segment, we had cash flow of $8.8 million in the fourth quarter, compared to $3 million in the third quarter. The increase in cash flow in the fourth quarter was primarily driven by a refinery butane business, which generates a significant majority of its margin-based cash flow in the fourth and first quarter. This winter seasonality is when refineries demand butanes for gasoline blending. For 2012, we had cash flow from our Natural Gas Services continuing operations of $14.5 million, compared to $6.8 million in '11. The year-over-year increase in cash flow was primarily driven by refinery butane business. This was the first year we have focused on this business as we started the business in the second quarter of '12. As a result, 2012 cash flow shows no benefit of first quarter profitability. Looking toward 2013, we believe cash flow should increase in this segment at a benefit of having the refinery butane business operating in the first quarter of '13. Again, there was no such benefit in the first quarter of 2012. In addition to the wholesale NGL marketing business, we now own 100% of Redbird Gas Storage, which owns a 41.7% Class A interest in Cardinal Gas Storage and a fully diluted 38.7% interest. For both the third and fourth quarters, we had distributions from Cardinal of $0.8 million. For 2012, we received $4 million in distributions compared to $1.4 million in 2011. However, our forecasted distribution of Cardinal should be reduced in 2013 as recontracting rates at Monroe Gas Storage are less when compared to 2012. In our Marine Transportation segment, we had cash flow of $6.1 million in the fourth quarter, compared to $4.3 million in the third quarter. Of the increase, $800,000 came from the offshore side of the business as utilization increased as a result of minimal downtime for repairs and maintenance. The balance of overall marine transportation increase in cash flow was the result of the recovery of a previously written-off bad debt on the MM [ph] side of the business. For the year, Marine Transportation cash flow was $17.9 million in 2012, compared to $14.1 million in 2011. This increase was entirely driven by an improvement in the offshore side of the business. The utilization of our 2 offshore tows that usually operated in the spot market was significantly improved. This improvement in overall offshore utilization has been primarily driven by the increasing Eagle Ford Shale production. Looking toward 2013, we forecast this offshore utilization to again be slightly improved, so we are forecasting a slight increase in Marine Transportation cash flow over 2012. Finally, our unallocated SG&A was $5.3 million in the fourth quarter, compared to $2 million in the third quarter. $1 million of this increase is due to an increase in overhead allocation we received from our general partner. And for the quarter this allocation was $2.7 million. The balance of the increase is due to transaction costs surrounding the fourth quarter acquisitions of the packaging business, the Redbird Class A interest and the Talen's Marine shore base terminalling business. Legal audit, consulting and fairness opinion costs related to these acquisitions were charged in the fourth quarter. Now looking towards 2013 and as in any acquisition cost, we believe unallocated SG&A cost should be $13 million to $14 million for the year, compared to $11.7 million in 2012 and $8.7 million in 2011. So to summarize, MMLP had overall cash flow from continuing operations and including distributions for Cardinal of $31.9 million in the fourth quarter, compared to a recast $27.3 million in the third quarter. For the year, we had recast $120.7 million in cash flow from continuing operations, compared to a recast $89.9 million in '11. Now for the fourth quarter, we had maintenance capital expenditures and turnaround costs of $4.6 million. And for the year, these costs totaled $10.7 million. Looking toward next year, we are forecasting approximately $13 million to $15 million in maintenance and turnaround costs. Now I would like to turn the call over to Joe McCreery, who will speak about liquidity and capital resources, our recent acquisitions and our 2013 growth capital plans.
Joe McCreery: Thanks, Bob. I'll start with our normal walkthrough of the debt components of the balance sheet and our banking ratios. We'll then highlight the recent M&A and growth initiatives of the partnership, followed by an overview of the financing activities that impacted our liquidity position. So here we go. At December 31, 2012, the partnership had total funded debt of approximately $475 million. This consisted approximately of $173 million of senior unsecured notes, approximately $296 million drawn under our $400 million credit facility and approximately $6 million of capitalized lease obligations. Thus, the partnership's available liquidity on December 31 was $104 million. For the fourth quarter 2012, our bank-compliant leverage ratios, defined as senior secured indebtedness to adjusted EBITDA and total indebtedness to adjusted EBITDA, were 2.31x and 3.65x, respectively. Additionally, our bank-compliant interest coverage ratio as defined by adjusted EBITDA to consolidated interest expense was 3.89x. Looking at the balance sheet, our total funded debt to total capitalization was 57.1%, which is higher than the September 30 quarter, primarily as a result of funding multiple acquisitions during the fourth quarter. In all, at December 31, the partnership was in full compliance with all covenants, financial or otherwise. As of last Friday, February 22, 2013, the current amount borrowed under our revolving credit facility was $40 million. This large reduction in credit facility borrowings is attributed to the $250 million notes offering executed by the partnership in early February, which I'll discuss momentarily. First, let's discuss the partnership's M&A and growth initiatives in the fourth quarter. On our last call, we discussed the 2 drop-down acquisitions that occurred in October of 2012. Let me recap those fourth quarter transactions before moving to the acquisition we closed at the end of the year. In the first transaction, the partnership purchased certain specialty lubricant product packaging assets from Cross Oil Refinering, a wholly-owned subsidiary of MRMC. For this drop-down, we paid total consideration of approximately $122 million, including working capital of approximately $37 million at closing. The entire purchase was funded using availability under the partnership's credit facility. We expect incremental distributable cash flow from these assets of approximately $11 million to $13 million in 2013. In the second transaction, the partnership purchased all of the remaining Class A equity interest in Redbird Gas Storage for $150 million. This was also funded using the partnership's revolving credit facility. Through Redbird, MMLP currently owns approximately 38.7% fully diluted interest in Cardinal Gas Storage. Cardinal is currently developing 3 gas storage projects and owns a fourth, which is fully operational. We again, note that pertaining to the 3 Cardinal development projects, the partnership anticipates total required investment of approximately $35 million over the next 24 months. Additionally, pertaining to the development projects, each has an existing project financing in place. These financing arrangements require free cash flow sweeps, which amortize the outstanding indebtedness and prohibit distributions. For this reason, Cardinal has not historically made distributions to its members with respect to these developmental projects. Without a refinancing of this project-level indebtedness, MMLP can assume no material distributions from these projects in 2013 and 2014. The partnership intends to assist Cardinal in the refinancing of this project-level indebtedness into a consolidated financing prior to January 1, 2015. Finally, in conjunction with the Redbird transaction, our general partner has agreed to suspend its right to receive the next $18 million incentive distribution rights that would otherwise, be entitled to receive from MMLP. The suspension commenced with the fourth quarter 2012 distribution. Further, our general partner has agreed to relinquish up to an additional $7.5 million in incentive distributions if certain cash distributions to the partnership from Cardinal are not achieved in 2015 and 2016. Next on December 31, 2012, the partnership successfully closed the acquisition of Talen's Marine & Fuel, LLC for approximately $50 million, subject to certain working capital adjustments. The Talen's transaction represents a significant enhancement to MMLP's existing marine terminal infrastructure as we added 10 marine terminalling locations on the U.S. Gulf Coast, an incremental tankage of approximately 300,000 barrels. For 2013, MMLP expects incremental cash flow from the acquisition of approximately $6 million to $7 million. The acquisition was funded under the Partnership's revolving credit facility. Now let's move on to capital raises and partnership liquidity. First, our November 2012 equity offering. In late November last year, we completed the follow-on public offering of $3.45 million additional common units. Total proceeds to the partnership, net of underwriter's fees and offering expenses, was approximately $103 million. Including this offering and the issuance of units to various employees as part of our long-term incentive plan at year end, we currently have 26.6 million common units outstanding. Concurrent with the offering, MRMC contributed $2.2 million in cash to the partnership in order to maintain its ongoing 2% general partner interest. All proceeds of the offering were used to reduce outstandings under our credit facility. Next, our February 2013 notes offering. Earlier this month, the partnership completed a private placement of senior unsecured 8-year notes to qualified institutional buyers under Rule 144A. Net proceeds to MMLP, after underwriter's fees and expenses, were approximately $245 million, all of which was used to repay borrowings under our credit facility. We're pleased with the outcome of this offering, particularly when compared to the previous notes issuance in 2010. Primarily due to improved market conditions, we were able to outperform our existing notes by 162.5 basis points on a comparable interest rate basis. Giving effect to the partnership's note offering, our partnership's liquidity has never been better and we are well positioned to finance our planned capital expenditures in 2013 and beyond. Then this concludes our prepared remarks. We'd like to open the line for questions and answers.
Operator: [Operator Instructions] Our first question comes from the line of Edward from Raymond James.
Unknown Analyst: There's been a lot of talks around the amount of condensate production out of the Eagle Ford, namely EOG had an interesting presentation around this. And I want to see if given the lack of available barges and lack of Jones Act vessels and docking congestion, if you're looking at other alternative to take advantage of the amount of condensate production out of the Eagle Ford.
Robert D. Bondurant: Ruben, do you want to answer that one?
Ruben S. Martin: Yes, yes. And the answer is yes. We are looking at a lot of different things that we've done. Of course, with that light condensate comes a lot more of natural gas liquids that are coming out of that area, so we have purchased some marine barges for LP gas that we will be utilizing in that area for transportation and transloading. And so, yes, the answer is yes. We are looking at a lot of different things and looking at our tanks to where they can take a lighter product and so forth that we're building around our crude terminal. So we realized there's a lot of that starting to come out of there, and we are making ways to handle that product.
Joe McCreery: Edward, what Ruben's referring to you, you're probably going to see a press release later today. We are closing an acquisition as we speak, with respect to some additional assets that we're going to put in place there specifically for this purpose. We're looking at this more as an NGL play than a marine play, given the fact that we've got this increased handling capability. Clearly there's a lot to be done down there. It's certainly high on our prior list.
Unknown Analyst: All right. Very good. Last question. With improved coverage and improved cash flow coming from these various projects, how are you guys looking at targeting cash distribution growth going forward?
Joe McCreery: Yes, I think we're going to kind of stay the course. We've been pretty open with our disclosure that our target is kind of 1.15x. We typically take that to the board. It's obviously their discretion as to if and when we increase our distributions. But nonetheless, I think we're going to stick with that target. We do have a lot of growth planned on organic side that theoretically would be a drag just to some of these better coverages that we've seen. But nonetheless, that's a board discretion item. But I think target remains 1.15x.
Operator: Our next question is from the line of TJ Schultz from RBC Capital Markets.
TJ Schultz - RBC Capital Markets, LLC, Research Division: I guess a lot of acquisition activity obviously. As you look at some of your organic opportunities around some of your assets now, is there any color for kind of organic growth CapEx in 2013? Or how are you thinking about organic growth versus some of the acquisition opportunities that we may see announced today?
Wes Martin: Yes, TJ. This is Wes Martin. I'll take that question. In terms of organic CapEx budget for 2013, we're looking at $120 million to $140 million, call it, of capital expenditures. We took the vast majority that have been approved by the board, so I think that's a good number for where we sit today. In terms of how that's allocated amongst the 4 different business segments, the primary expenditures, CapEx, are going to be in the Terminalling and Storage group. And more specifically, the majority of that will be with respect to the Cross assets both on the packaging and the refining side. And then also we're looking at an expansion, a potential expansion at our Corpus Christi crude terminal area that would take up the remaining capacity that we've got there. That's not been approved yet by the counterparty there, but we are looking at that and we think that's likely to happen. So I'd say about half of that budget of $130 million midpoint is in the Terminalling and Storage group. The $50 million, there's about $50 million plus or minus on the Natural Gas Services group, primarily with respect to the floating LPG barges that Ruben and Joe mentioned briefly before. And then the remainder of the CapEx budget would be sort of between the sulfur group and then also within the Cardinal investment, which is obviously embedded in the Natural Gas Services business. So when you add all that up, it's about $120 million to $140 million of organic growth this year. I'm just going to say and then with respect to acquisition, we don't have anything definitive working right now. We've looked at several opportunities here recently, but we are continuing -- it's similar from the perspective that we're trying to grow our Terminalling and Storage business and certain parts of our Natural Gas Services business. So those are the opportunities that we continue to look at, but nothing definitive in the works at this point in time.
TJ Schultz - RBC Capital Markets, LLC, Research Division: Okay, that's helpful. The Terminalling and Storage segment, if I look at the fourth quarter. You guys mentioned some of the issues in Arkansas I think. If there's just a little bit more color there, maybe specifically what was the impact on OpEx for some of those boiler issues? And then just to clarify, when were those issues fixed and how are things kind of running now?
Robert D. Bondurant: Yes, this is Bob. I'll take that. The impact of the boiler activity we had reduced throughput revenue and increased operating expenses. And all have the specific split, but it was a negative impact of about $2 million. I would say the majority of it on the expense side probably, 2/3 on the expense side and 1/3 on the revenue side. As far as the refinery has been running ever since we got it back up and running north of 7,000 barrels a day and still operating at that level. We do believe what we do have a temporary fix I believe that some time in probably April or May, we may have to go down for 4 or 5 days to get the final, final, final fix on the border. So that's where it stands today.
TJ Schultz - RBC Capital Markets, LLC, Research Division: Okay. And then the unallocated G&A obviously upticked in the fourth quarter from some of those transaction type costs. Just trying to see if there's any other cost that would fall into the first quarter from some of these activity outside of that run rate of $14 million for the year for unallocated G&A?
Robert D. Bondurant: There might be just a hair from the Talen's acquisition since it closed on December 31. There might be something trickling in, but we feel highly confident it will not be significant.
Wes Martin: Really quickly, TJ, on Bob's comments with respect to Cross. We don't have a planned turnaround on that asset this year. And so, boiler repair for 2 or 3 days, 4 days whatever it is with respect to completing that repair isn’t the end of the world from a capital perspective nor forecasted perspective.
Ruben S. Martin: And to give a little more color behind that, and just so you know in 2012, we were actually down for 45 days turnaround when we did the vacuum tower. So that was 45 days won't come back again this year and you only have directly 5 or 6 for boiler repair.
Operator: [Operator Instructions] Our next question comes from the line of Ethan Bellamy from Robert W. Baird.
Unknown Analyst: It's Mike Gaton [ph] for Ethan Bellamy. I wanted to please ask about the Natural Gas Storage business, and specifically how does the partnership best plan to operate in the continued self demand environment? And relatedly our current market conditions are factored all in determining when the additional storage capacity from Cardinal comes online in the next few years?
Wes Martin: This is Wes Martin. I'll take that. In terms of the overall gas storage market, I mean, you hit the nail on the head with respect to the softer demand, with respect to need for gas storage. One of the benefits that we do have from the Cardinals perspective, particularly with respect to these projects that are coming online, that will be coming online this summer is a substantial majority of those are contracted under long-term contracts in the range of 5 to 10 years. And those contracts were entered into back in 2009, 2010 timeframe under different market conditions. But those contracts are approximately 80% of the capacity that we've got coming online in 2013. So we are protected to a large extent from the current marketplace. And obviously, 5 to 10 years in the future as those contracts roll off, whatever the market is that point we are obviously exposed. But with respect to the soft demand side, we do have protection in the form of contracts on a big chunk of that. So we feel comfortable with respect to call it the near to mid-term from a cash flow perspective in that business. I'm sorry what was your second question?
Unknown Analyst: I think that covered them both in terms of the current environment and how it relates to the new projects coming online. If I could lastly ask a question about the capital structure? Certainly with the strong debt market you guys have already taken advantage of the available funding out there. What minimum level of liquidity would you guys seek to maintain going forward? It sounds like they're still quite a bit of capital to deploy in the year ahead. And with the markets continuing to be ripe to term out debt, are you guys at all thinking about maintaining minimum level of liquidity on the revolver?
Ruben S. Martin: Yes, Mike. A good question; I think the answer is yes. And as we think about our planned capital spend for the year, a cushion of no less than 3 quarters distribution is kind of our bogey. So that gets you into the kind of $60 million plus or minus range at a very minimum. Obviously, we're nowhere near that now and given the fact that we're planning about 140 plus or minus of capital expenditures for 2013, I think we're in very good shape as, I alluded to in our comments. We're additionally looking at the bank market again, given the fact that the high-yield market is so strong and a lot of lenders have seen their outstanding flushed into the debt market. You can imagine the bank market being pretty robust. So that's certainly something we're considering, grabbing liquidity while it's available in this form.
Operator: Our next question comes from the line of James Spicer from Wells Fargo.
James Spicer - Wells Fargo Securities, LLC, Research Division: Can you just remind me what the contracted situation is on the Monroe facility?
Wes Martin: Yes, this is Wes. Right now we're 100% contracted, with respect to that. I don't want to get into the rates that we're contracted there for obvious reasons. But yes, right now we're effectively 100% contracted. We went out for an open season I think it was in the fourth quarter of last year. Obviously the bids were relative to some of the rollover previous contract prices were disappointing, but we have decided to contract again. So effectively right now, we're 100% and going forward for the next call it I think it's about 12 to 18 months would be roughly 100% contracted.
James Spicer - Wells Fargo Securities, LLC, Research Division: Okay, and can you just -- I think this is the case, but just to confirm, when you talk about your facilities generally being under contracts of sort of 5 to 10-year contracts and those contracts being put into place a couple of years ago. That 5 to 10 years doesn't begin until the facility start to deliver or start to become operational, correct?
Wes Martin: Yes, that's a good point. That's exactly right. So those contracts basically go in service at the time that the facility goes in service. And so when I quote the 5 to 10 years, that's from the in-service dates. That's correct, James.
James Spicer - Wells Fargo Securities, LLC, Research Division: Okay, great. And then lastly, one more on the storage side, can you just talk a little bit about -- in terms of the refinancing of the project debt, what you're thinking about in terms of timing and structure there?
Joe McCreery: This is Joe. James, what we'll have to do with that at that level is essentially roll up to project debt specific to each of the 3 development projects to its Cardinal level consolidated financing. Our timing is such that if we look at 2013, I think right now it's imperative first and foremost that we complete the projects and get them operational. I think that gives us so much more leverage from the starting point with the lenders. And so I think that's our first focus. As you know, from the disclosures, we're not anticipating any cash flow to the partnership until 1/1/15 which is to say this is probably a next year event at this point. If we could focus on operational completion of these projects for 2013, I think that will be a successful milestone and then we can get into the financing probably late this year, early next year.
Operator: I'm showing no further questions in queue and would like to turn the conference back over to Mr. Bondurant for any closing remarks.
Robert D. Bondurant: Thanks, Ben. And thanks, everyone, for joining the call this morning. As we have outlined today, we believe the partnership is a strongly positioned as it has ever been. Our balance sheet is well positioned with ample liquidity to execute our 2013 growth plan. And we also believe our existing business operations and the commercial opportunities surrounding those operations will give us the ability to squeeze out incremental additional cash flow. And now, thanks, again, for everyone for joining in your continued support.
Operator: Ladies and gentlemen, thank you for your attendance in today's conference. This does conclude the program, and you may all disconnect. Have a great rest of the day.